Operator: Greetings and welcome to the Centrus Energy Fourth Quarter 2015 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Don Hatcher, Director, Investor Relations for Centrus Energy. Thank you, you may begin.
Don Hatcher: Thank you, Mellissa. Good morning and thank you for joining us. Today’s call will cover the fourth quarter and full year results for 2015 that ended December 31st. Here today for the call are Dan Poneman, President and Chief Executive Officer; Steve Greene, Senior Vice President, Chief Financial Officer and Treasurer; and John Dorrian, Controller and Chief Accounting Officer. Before turning the call over to Dan, I’d like to welcome all our callers, as well as those listening to our webcast. This conference call follows our earnings news release issued yesterday afternoon. We expect to file our annual report on Form 10-K later today. All of our news releases and SEC filings including our 10-K, 10-Qs, and 8-Ks are available on our website. A replay of this call will also be available later this morning on the Centrus website. I’d like to remind everyone that certain of the information that we may discuss on this call today may be considered forward-looking information that involves risk and uncertainty, including assumptions about the future performance of Centrus. Our actual results may differ materially from those in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in our forward-looking statements is contained in our filings with the SEC, including our Annual Report on Form 10-K and quarterly reports on Form 10-Q. Finally, the forward-looking information provided today is time sensitive and is accurate only as of today March 22, 2016 unless otherwise noted. This call is the property of Centrus Energy. Any redistribution, retransmission, or rebroadcast of this call in any form without the expressed written consent of Centrus is strictly prohibited. Thank you for your participation. And now, I will turn the call over to Dan Poneman.
Daniel Poneman: Good morning and thank you Don and thank you everyone on the line for joining us. I would like to begin by offering some insight into where Centrus has been and where the company is headed. Then I’ll turn it over to our Chief Financial Officer Steve Greene who is going to dive a little deeper into the financials. We have come a long way over the past year and our results for 2015 reflect the ongoing transformation of Centrus as we implement our plan to become the world’s most diversified supplier of nuclear fuel and nuclear fuel services. We produced a gross profit of $69 million, an improvement of $110 million over last year's performance and $164 million over our 2013 performance. We ended 2015 with a cash balance of $234 million above our guidance for the year. We won significant new sales contracts, extended and diversified our supply base, and position Centrus to begin growing again. We also successfully concluded negotiations over our Russian supply agreement, a top priority since the day I arrived at Centrus. We’ve recruited a new senior management team and have embraced a customer first approach focused on expanding our LEU business and growing into new business lines. Of course we are continuing to face formidable challenges as we have emerged from bankruptcy in the midst of a deep and long downturn in the market but I continue to believe that we are well positioned for future success. Our path forward focuses on three key priorities. First, growing our fuel supply business which we expect will be our largest business segment for at least the next several years and was responsible for approximately 85% of our revenue last year. The cornerstone of those efforts is our revised Russian supply agreement with TENEX which gives us significantly more flexibility and will also extend our guaranteed source of supply for our customers through 2026 and perhaps beyond. Since we are no longer burdened by the high fixed cost of the production facility or by significant capital and interest expenditures we can use today’s low market prices to our advantage. We’ve been able to obtain additional supply both short-term and long-term that enables us to offer competitive pricing to our customers, as a result we’ve been wining business and booking new sales. Second, we are leveraging our cutting edge technical capabilities and long standing customer relationships to develop strategic business partnerships across the nuclear industry. The scientific engineering and manufacturing expertise we have in place in Oak Ridge represents a major strength for our company and we believe it can open up new doors and new possibilities for Centrus in the years ahead. Third, over the long-term as the market recovers we are committed to providing new enrichment capacity. Last month we announced that we successfully completed a three year demonstration of our advanced Centrifuge technology in Piketon, Ohio, which the U.S. Department of Energy has described as and I quote "the most technically advanced and lowest risk option" for restoring America's domestic uranium enrichment capability. While the completion of that demonstration effort reduces our contract services revenue and has forced us to demobilize our Ohio facility, we are going to continue to maintain and improve the technology. The Department of Energy Oak Ridge National Laboratory has said that they will continue to fund our ongoing work in Tennessee this year to advance the technology for national security and energy security purposes. While in our judgment the current market does not support the construction of a new commercial scale enrichment plant based on this or any other technology and won't for several years to come, we remain committed over the long-term to deploying a new enrichment capability when the market does recover. In sum we believe this has been a transformative year and that we are making good progress towards our goals. By its nature this is a long-term business with few transactions and uneven delivery and payment schedules. That is why many of the steps we are taking may not pay visible dividends in the short-term, they will take a while to be reflected in our bottom line. But I am confident in this strategy we have adopted and in the team we have put in place to execute it and to drive shareholder value and with that I will turn the floor over to Steve Greene. Steve?
Stephen Greene: Thank you Dan and good morning everyone. As we mentioned on our Q3 call in November, we expected to have a strong fourth quarter, and we delivered on those results. I’ll briefly run through the numbers and then discuss some of the drivers of our performance. In 2015 we generated total revenues of $418.2 million with $355.4 million of that coming from the LEU business. While total revenue was slightly below our previous guidance due to the delay in establishing a contract for our ongoing work in Tennessee which we are working to complete soon, we have surpassed our revenue expectations for the LEU business. The volume of SWU sales declined by 41% compared to 2014, which reflects the reality that we’ve transitioned into a smaller company following the shutdown in 2013 of the enrichment plant we operated in Paducah as well as the successful completion of the megatons to megawatts program. As of the end of 2015 our LEU business had a 2.3 billion long-term order book which extends more than a decade. Although our sales volumes are lower than they were a few years ago we believe this sales order book is a stable source of cash flow and liquidity for the company. Over the course of 2015 we made significant deliveries from the order book by also adding new long-term sales contracts. Although we see limited uncommitted demand for LEU prior to the end of the decade based on current market conditions, we continue to seek and make additional sales including sales for near-term delivery. Earlier this month for example we announced approximately 165 million in new sales contracts that have been signed over the last nine months with deliveries through 2022. Some of those contracts are not included in the end of the year order book total. Cost of sales for the LEU segment declined 203.7 million or 42% in 2015 due to lower sales volume and a decline in direct charges of 97.7 million. Excluding direct charges, cost of sales per SWU declined 1% year-over-year. We had a gross profit of 68.9 million in 2015 and our gross margin was 16.5%. These are substantive increases in 2014 and reflect a decline in direct charges and higher prices built to customer. Advanced technology cost totaled 33 million for 2015, a decline of 28.3 million compared to 2014, reflecting the transition to the contract with Oak Ridge National Lab in 2014. Work outside that contract and certain demobilization and maintenance costs are reflected in the advanced technology cost as is work we performed in anticipation of reaching a successor agreement with Oak Ridge National Lab and an increase to the accrued liability for DND for the Ohio facilities based on updated cost projections. Sales, general, and administrative expense held steady for the year while benefits and overhead allocated to SG&A increased due to our post emergence cost structure. These were offset by reductions in salary and benefits due to lower staffing levels and lower incentive compensation. We are keenly focused on reducing SG&A going forward and expect to continue to decrease our cost as we complete our transition to a smaller company. We reported a net loss of 187.4 million in 2015 which included a non-cash impairment charge of 137.2 million for the carrying value of the excess reorganization value that resulted from our reorganization. We tested the excess reorganization value for impairment in the fourth quarter in accordance with our accounting policies and due to the market values of the company’s debt and equity it was determined to be fully impaired. Our 2015 net loss compares to a net income of 297.8 million in 2014 when we had net reorganization gains of over 425 million. Obviously without those impacts resulting from the reorganization, 2015 would have represented and improved. Turning to cash, we reported a cash balance of 234 million at year-end compared to the 218.8 million at the end of the prior year which as Dan mentioned earlier was ahead of our expectations. The company also had accounts payable under SWU purchase agreements of 85.4 million at year-end. Net cash flow provided by operating activities for the full year was 8.5 million. The sources and uses of cash flow in the year were in line with our expectations. Before I turn the call back to Dan for brief closing remarks, I’d like to review our outlook for 2016. Total revenue for the full year is expected to be in the range of 275 million to 300 million. We delivered about 2 million SWU in 2015 and anticipate delivering about the same amount in 2016. The decline in anticipated total revenue compared to 2015 reflects the specific contracts under which we expect to deliver opportunistic transactions that occurred in 2015 but are not predictable and the smaller size of our anticipated contract with Oak Ridge National Lab. In addition we anticipate our end of the year cash balance will be in the range of 200 million to 250 million. I’ll now turn the call back to Dan. 
Daniel Poneman: Thanks Steve. I would like to close today by reemphasizing our commitment to the ongoing transformation of Centrus. Our new management team is an experienced and highly focused group who are intent on working hard every day towards our objective of becoming the world’s most diversified supplier of nuclear fuel and services. Looking forward our near-term efforts remain directed on growing our fuel supply business and leveraging our technical capabilities and customer relationships to develop strategic business partnerships across the industry. Longer-term as the market recovers we are committed to deploying an advanced uranium enrichment capability. We appreciate your interest in Centrus and look forward to communicating our continued progress throughout the year. With that I will now turn the floor over to the operator for any questions. Thanks.
Operator:
Don Hatcher: I don’t believe there is any questions coming in. So we’re going to close out our call now and thank everyone for their time and their participation and as always we appreciate your support. 
Operator: Thank you.
Daniel Poneman: Thank you all. 